John F. Dolan: Good afternoon, everyone. Thank you for joining us today to discuss our results for our fiscal first quarter 2026, which ended on June 30, 2025. Hosting the call today is our Chief Executive Officer, John Lai; our Chief Financial Officer, Garry Lowenthal; and myself, John Dolan, PetVivo's Chief Business Development Officer and General Counsel. [Operator Instructions] Following our remarks, we'll open the call to your questions. Then before we conclude today's call, I will provide some important cautions regarding the forward-looking statements made during the call. I'd like to remind everyone that today's call is being recorded in order to make it available for replay. The replay instructions can be found in today's press release, which is available in the Investor Relations section of our website. Now turning to our results for the quarter. Our growth momentum continued into the first quarter as we continue to expand the use of our lead animal osteoarthritis veterinary medical device Spryng with OsteoCushion technology. We also advanced the development and use of technologies we've gained from new major partnerships that we formed earlier this year. They have provided innovative technologies that involve diagnostics and medical treatments, which have been transformative for our platform and for the veterinarians and pet owners that we serve. Since introduction of Spryng in late 2021, this flagship product has now been used by more than 1,000 veterinary clinics across all 50 states. And with the recent addition of our first distributor in Mexico, we can include several new international clinics as well. Mexico is a very attractive market for animal health solutions, especially given now the country's veterinary health care market is expected to grow at a compounded annual growth rate of 11% to reach $2.4 billion by 2031. Personal horse ownership is deeply intertwined with Mexican culture and tradition, which makes the Mexican marketplace exceptionally ideal for us. As those sales begin to ramp up in Mexico, our U.S. national distributor network increased their sales by 192% compared to a year ago, reaching $198,000 or 67% of total revenue. The growth in distributor sales, combined with the expansion of our in-house sales force and product offerings drove a 140% increase in total revenue for the quarter, reaching nearly $300,000 making it one of our best quarters yet. This performance also reflects the success of our marketing efforts, which is still strongly focused on the large equine market as we further expand into the larger and faster growing companion animal market. The growth also reflects the success of the several new highly experienced territory managers we have deployed nationwide over the past year as well as the addition of a new team of professional sales representatives and technical service veterinarians we've engaged to support them. Together, they have been developing relationships with the nation's leading veterinary clinics, veterinary corporate entities, consolidators and distributors to support future sales. Now before we get into some more of the other exciting and recent developments and our outlook for the remainder of the year, I would like to turn the call over to our CFO, Garry Lowenthal, to take us through the financial details for the quarter. Garry?
Garry N. Lowenthal: Thanks, John, and good afternoon. Thank you for joining us today to discuss the results of our first fiscal quarter of 2026 that ended on June 30. As John Dolan mentioned, we had a great quarter with revenues of $298,000. This was an increase of 141% over the first quarter of last year. This growth was largely driven by a number of factors, including our expanded North American distributor network with their contribution increasing 192% compared to the year ago quarter, reaching $198,000 or 67% of the total revenue. Our expanded in-house sales force and additional product offerings that now include PrecisePRP, a platelet-rich plasma animal health product which is administered alongside Spryng also helped drive the increase in our revenue. Gross profit totaled $187,000 or 63% of revenues, which was an increase of 69% compared to $111,000 of revenues at the same time a year ago. The decrease in the gross margin was due to the new PrecisePRP product as we increased our product offerings and our sales mix. Now on to the operating expenses -- they decreased 9% to $2 million from $2.2 million in the year ago quarter. The reduction was due to a strategic company-wide cost reduction and restructuring program that company implemented during the previous fiscal year and which continued into the first quarter. Combined with the increase in sales, the lower operating expenses helped decrease by operating loss by 10% compared to the same quarter a year ago, bringing it down to $1.8 million. We also decreased general and administrative expenses by 14% while creating more efficient and effective operations. Our net loss available to common stockholders totaled $2.3 million or negative -- loss of $0.09 per basic and diluted share which was a 15% improvement from the net loss of $2 million or $0.11 per basic and diluted share a year ago. Net cash used in operating activities increased to $1.6 million from $1.5 million in the same period a year ago, which was primarily due to onetime lease termination expenses and an increase with our inventory purchases with our new PrecisePRP product line. Now let's turn to the balance sheet. Our available cash on June 30 was $3.3 million increasing from $220,000 just on March 31, 2025. The increase was primarily due to the net proceeds of $4.7 million we received from the finance activities we conducted just during the last 90 days of the quarter. Also notably, our total liabilities decreased $1.2 million or 39% in the quarter or down $3.1 million from $5.1 million for the same quarter a year ago. The reduction in total liabilities included reduced lease liabilities by $860,000 during the quarter, by terminating our 10-year lease for our second manufacturing facility and also the extinguishment of derivative liabilities with our convertible notes due to modifying our convertible note terms. And I can talk briefly about -- anyway, I'll continue. We got uplisted on the OTC capital markets. We uplisted from the QB to the QX. So in any case, I'd like to mention that we recently qualified to begin trading on the OTCQX Best Market. To qualify for the OTCQX, public companies must meet high financial standards, follow best practice corporate governance and demonstrate compliance with applicable securities laws. We believe our uplift from the OTCQB to the OTCQX demonstrates our commitment to transparency, strong corporate governance and delivering long-term value to our stockholders. We also believe that trading at OTCQX will enhance our visibility within the investment community and provide greater liquidity and accessibility for investors as we continue to execute on our strategic growth initiatives. Now this completes our financial summary for the year. John Dolan?
John F. Dolan: Thank you, Gary. The growth for the quarter demonstrated the success of our overall strategy for driving greater adoption of Spryng as well as increasing the awareness and acceptance of PrecisePRP for the treatment of osteoarthritis in animals. PrecisePRP is a proprietary and revolutionary allogeneic platelet plasma products or PRP, designed for horses and dogs that was developed by VetStem. PetVivo has the exclusive rights to commercialize PrecisePRP in the United States. PrecisePRP is a first-in-class, off-the-shelf PRP product for use by veterinarians. It is a leuco-reduced allogeneic cooled freeze-dried PRP that provides a species-specific source of concentrated platelets in plasma for intra-articular administration. Unlike other PRP mechanical kits currently on the market, PrecisePRP does not require a blood draw or a centrifuge thereby making it a truly off-the- shelf product that is easy and convenient to administer. Perhaps even more important is uniformity and consistency that PrecisePRP guarantees. Each vial of PrecisePRP contains a consistent dose of 4 billion platelets per vial at a concentration of 500,000 platelets per microliter and its leuco-reduced with less than 1,500 white blood cells per microliter. We have begun to sell this breakthrough regenerative product under a new exclusive licensing and supply agreement with VetStem that we signed last quarter. The commercialization of Spryng and PrecisePRP has been received very favorable reports from veterinarians regarding the ease of use for each of these products and their effectiveness in management of osteoarthritis in horses and companion animals. We've also continued to focus on expanding awareness of the benefits of both of these innovative products among key decision makers. In July, we exhibited at the Texas Equine Veterinary Association 2025 Summer CE Symposium, which was held in Marble Falls, Texas. We also have attended other smaller industry events during the quarter. At these events, we demonstrate the research- backed benefits of Spryng to veterinarians, including leading sports medicine and rehabilitation experts in the veterinary industry. We will have the opportunity again at the upcoming 2025 Fetch, Kansas City Veterinary Conference to be held starting August 22 at the Kansas City Convention Center in Kansas City, Missouri. At this conference, we will be exhibiting jointly with VetStem. We will be presenting our Spryng with OsteoCushion technology as an intra-articular injectable veterinary medical device, consisting sterilized extracellular matrix micro particles. Together with VetStem, we will also be exhibiting the PrecisePRP technology and how it can work alongside Spryng. Such conferences allow us to discuss firsthand the benefits of administering Spryng and/or PrecisePRP to horses and companion animals. We can provide the many anecdotal reports as well as present clinical study results in the Spryng that have been obtained by leading independent investigators. From these events, we usually gain a better understanding of our target market and the types of veterinarians we should be more focused upon. This includes vets who specialize in sports medicine, rehabilitation and/or pain management as well as surgery. Regarding additional studies, we have continued to accumulate data from a new canine elbow pilot study being conducted by Orthobiologic Innovations, a leader in R&D and regenerative and sports medicine. The study is being led by 2 prominent veterinarians, Sherman and Debra Canapp, and we expect it to be completed before the end of the calendar year. Studies like this canine elbow study as well as other completed studies related to the management of stifle, cranial cruciate ligament disease and hip osteoarthritis continue to play a crucial role in our sales and distribution strategy. Veterinarians as well as large national and international distributors generally want to review university or independently conducted research before adding a new product like ours to their treatment regimens or distribution catalogs. Our internal sales team and outside distributors have been using our several documented studies in their commercialization effort for Spryng, including related veterinarian training. Also during the quarter, we've been advancing our strategic alliance with Digital Landia, a pioneer in agentic AI solutions. Our collaboration with Digital Landia centers on their pet artificial intelligence technology, a revolutionary technology that deciphers animal behavior and communication through real-time analysis of vocalizations, body language and physiological signals captured via smartphone cameras. Given how it accomplishes this with an amazing 97% accuracy, Digital Landia's agentic AI represents a paradigm shift in how we understand pets and their physical health. By aligning our clinical-proven therapies with this AI technology, we believe PetVivo is uniquely positioned at the intersection of AI innovation and veterinary care. We anticipate pet AI to rival mainstream AI applications in terms of adoption rates and thereby create tremendous visibility for our brands, particularly Spryng and PrecisePRP. This AI technology is currently being integrated with our veterinary products to create a first-of-kind global pet care ecosystem. Beta testing is underway and advancing well, and we anticipate the official commercial launch to take place in our third quarter of this year. In June, we announced the strategic collaboration with Commonwealth Markets, a syndicated ownership group who was behind 2023 Kentucky Derby winner Mage and the 2022 Dubai World Champion named Country Grammer. Our partnership with Commonwealth has been centered on the clinical use and promotion of Spryng with OsteoCushion technology and PrecisePRP. As part of our collaboration, Commonwealth has integrated Spryng and PrecisePRP into the care protocols of a number of their top- tier thoroughbred stables. In this environment, they are using these technologies as both a preventative measure and/or a management solution to promote joint health and extend performance longevity. It is also being used to support recovery after high-impact training and racing. In addition to this clinical implementation, we are exploring co-branded content, educational initiatives and industry outreach to elevate awareness around joint wellness and to support the broader adoption of Spryng and a PrecisePRP across the equine health community. This unique partnership with Commonwealth, a recognized leader at the highest level of the sport marks a major advancement for both Spryng and PrecisePRP. Their championship-caliber horses and progressive approach to wellness makes them the ideal partner to showcase the benefits of these revolutionary restorative technologies. By combining our clinical experience and commercial capabilities with Commonwealth's equine industry knowledge and vast network, we can provide veterinarians with cutting-edge effective solutions that enhance recovery and long-term soundness in competitive horses. Also, during the first fiscal quarter, we established a strategic partnership with PiezoBioMembrane, a pioneer biodegradable piezoelectric materials for use in implantable applications. Through our collaboration, we are looking to advance the research and development of revolutionary functional biomaterials that can promote regeneration, restoration and/or remodeling of damaged or injured tissue and bone in both animals and humans. We are currently nearing completion of Phase I of our 3-phase joint research and development project, which is designed to determine if materials from our mutual products can be combined into a single offering to provide therapeutic benefits to animals and humans. Altogether, our latest new technologies have created an exciting future for PetVivo, which we believe will be transformative to not only veterinarians and the patients they serve, but potentially for humans as well. Finally, the advancement of our innovative technologies, Spryng and PrecisePRP is creating an exciting new future for PetVivo, one that we believe be transformative not only for us but also for veterinarians and their many precious patients. We expect to see continued strong sales momentum and market penetration for the duration of fiscal 2026 and beyond. In fact, we have never been in a better position to accelerate our growth and expand across high-growth markets. The U.S. animal health market is expected to double to $11.3 billion by 2030, such massive growth is rare for such an already large industry and it provides us amazing tailwinds. As we continue to grow and expand, we remain committed to advancing the best in pet health solutions and ensuring our products reach more veterinary professionals and pet owners. And this driving greater value for our stakeholders. Now I'd like to turn the call over to our CEO, John Lai, who will host our question-and-answer session. John?
John Lai: Thank you, John. Now we would like to open up the call for Q&A and comments. Operator, could you please provide the callers with instructions on how to ask questions.
Operator: [Operator Instructions]
John Lai: Well, if we don't have any questions. I will -- this concludes our call, but I will turn it over to John Dolan where he has some information to give.
John F. Dolan: Thank you, John. Now before we conclude today's call, I would like to provide the company's safe harbor statement that includes cautions regarding forward-looking statements made during today's call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to, statements regarding the company's future revenue, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the company's current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statements made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to, various risks as detailed in the company's periodic report filings with the U.S. Securities and Exchange Commission. For more information about risks and uncertainties associated with the company's business, please refer to the management's discussions and analysis of financial conditions or results of operations and Risk Factors sections of the company's SEC filings, including, but not limited to, our annual report on the Form 10-K and quarterly reports for Form 10-Q. Any forward-looking statements made during the conference call speaks as of today's date. The company expressly disclaims any obligations or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statements are based, except as required by law. I would like to remind everyone that this call will be available for replay starting later this evening or by tomorrow morning. Please refer to today's earnings release for dial and replay instructions available via the company's website at www.petvivo.com. Thank you for attending today's presentation. This concludes the conference call. You may now disconnect.